Operator: Good day, and welcome to the DTE Energy hosted Third Quarter 2014 Earnings Release Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Anastasia Minor. Please go ahead, ma’am.
Anastasia Minor: Thank you, Kyle. Good morning, everyone, and thank you for joining us today for our third quarter 2014 earnings call. Before we get started, I’d like to remind you to read the Safe Harbor statement on Page 2, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. So please reference and refer to the reconciliation of GAAP net income to operating earnings provided in the appendix of today's presentation. With us this morning is Peter Oleksiak, our Senior Vice President and CFO; Jeff Jewell, our Vice President and Controller; and Mark Rolling, our Vice President and Treasurer. We also have members of our management team with us to call on during the Q&A session. For this earnings call, we will be focusing on the quarter and impacts to 2014 during the presentation and the Q&A. Gerry Anderson will be presenting at the EEI Conference in a couple of weeks where he’s be providing a more detailed business update including our future growth plans. With that, I will turn it over to Peter for the update.
Peter Oleksiak: Thanks, Anastasia. Good morning, everyone, and thank you for joining us today. Well, here in Detroit we have officially lowered the Tigers flags and raised the Red Wings flags. There’s a debate going on at DTE whether I changed the Tigers on the last earnings call by indicating I’ll be giving a World Series update on the call. I claim I didn’t since they won the Division. Others say I did since they were swept in the first round of the Playoffs. Either way, I vowed not to make any more predictions on this call. In a few minutes, I’d like to turn the call over to Jeff and Mark who will take you through earnings and cash flow for the quarter and year-to-date. Before that, I’ll be providing a brief business update. Moving to Slide 5. This is an overview of our business strategy and investment thesis. Our growth plans for the next 10 years at both utilities are robust. Our electric utility’s growth is driven by environmental spend in the near term and renewal of our generation fleet is in the longer term, which is a natural replacement of our aging coal fleet. There is more certainty now on the coal retirements given the recent EPA actions. Our gas utility growth is driven by infrastructure investments and main replacement. Complementing our utility growth are meaningful, low risk growth opportunities in our non-utility businesses, which provide diversity in earnings and geography. As Anastasia mentioned, I’ll be providing detail on our overall growth plans at EEI. Two utilities are deploying capital and they’re very constructive regulatory environment and we work hard to earn this every day. Our effort begins with highly engaged workforce and ongoing focus on continuous improvement. This enables us to continue our cost savings track record and our utility’s ability to consistently earn their authorized returns. We also continue to focus on operational excellence and customer satisfaction that we believe are distinctive in our industry. Just last month, we were ranked number one in the latest J.D. Power Gas Residential Customer study against like peers. Our dividend payout continues to grow on line with earnings and we targeted strong BBB credit rating. Our strategy provides for consistent 5% to 6% annual EPS growth and attractive and increasing dividends and a strong balance sheet. On the next page, you see a short list of key activities and projects that are in motion. First, starting with DTE Electric. We are recently filed a proposal for new costs of service rates related to the new PA169 state legislation, which was passed earlier this year. If you recall, this legislation came out of a cross-functional work group chartered by the governor to look at large industrial customer rate design. Our proposal is to implement these new rates in the second quarter of next year. Sticking with Electric Utility, as previously disclosed, we issued an RFP for natural gas generation capacity early this summer. The process is proceeding very well. The RFP timeline is close to coming to a conclusion and it’s designed for closing in 2015 and capacity available for the 2015-'16 planning year. As far as finalizing our decision, we expect to make a determination in the next few weeks. This RFP is in the early step and our goal of securing capacity for our full service customers in a tightening region of the MISO markets. Next, I have a few updates that I want to provide regarding projects in our gas storage and pipeline segments. In the quarter, the Vector Pipeline issued an open season to assess shippers’ interest and capacity expansion of the pipeline. This binding open season ends November 4, and we can provide more of an update on the results after its conclusion. We have mentioned that many of our prior updates at our Vector Pipeline is well situated to provide a path to Ontario, Michigan and Chicago markets for the emerging shale gas in the regions that needs to head north and the west. The project we are most excited about is our NEXUS pipeline and since our last earnings call, the binding open season concluded and the pipe is now sized at 1.5 BCF a day expandable to 2. We’re finalizing producer agreements and doing early preparatory activities. We’re on track for the FERC pre-filing in the end of the year timeframe. We expect to give you another update on all these projects at our upcoming EEI in November. Slide 7 talks about the Michigan economy. We get a lot of questions when we’re on the road about the growing Michigan economy, so here on Slide 7 you can see some real indicators on this continued economic expansion, which is based on strong fundamentals. On the left-hand side of the page, you can see that Site Selection magazine now ranks Michigan as the sixth most competitive state for business location, up from 16th in 2011. On the right-hand side of the page, some more indicators of a strengthening economy as Michigan currently leads the nation in manufacturing job growth. Similarly, the American Economic Development Institute named Michigan the most improved pro-business state. So we continue to see positive momentum on the economic front. If we turn to Slide 8, this is our earnings and dividend growth slide we shared with you in the past. We remain confident that our growth plans will deliver 5% to 6% EPS growth target. In fact, we’re tightening our EPS 2014 operating EPS guidance to a range of $4.28 to $4.42, which raises guidance midpoint $0.05 to $4.35 per share. The increase in guidance midpoint is primarily driven by increased weather revenue at our gas utility and increased earnings at our Power & Industrial Projects segment. Jeff will take you through shortly the details of the guidance change. As you can see on the chart on this page, with the growth contemplating in our utilities and non-utilities over the next five years, we’re approaching $1 billion of income. I’ll now hand the call over to Jeff who will walk you through the details and the earnings for the quarter and impacts to the full year.
Jeff Jewell: Thanks, Peter, and good morning, everyone. I will start on Slide 10 and discuss our quarter-over-quarter earnings performance by segment. For the quarter, DTE Energy’s operating earnings are $1.02 per share. For a detailed breakdown of EPS by segment, please refer to the appendix, Slide 21. I would also like to point out that there is a reconciliation to GAAP reported earnings in the appendix. Now for our growth segments, operating earnings were down 26 million or $0.16 per share for the quarter. DTE Electric was down 44 million quarter-over-quarter, driven by cooler weather and higher storm activity in 2014. This was partially offset by lean initiatives. These initiatives have been implemented to achieve one-time cost savings. DTE Gas’ performance was in line with normal third quarter activity and financial results for the addition of targeted reinvestment activity. The results quarter-over-quarter were 3 million lower. Gas storage and pipeline earnings were 4 million higher for the quarter over last year. This increase was driven by higher pipeline and gathering earnings which were partially offset by the ongoing impact of the accounting change related to one of our pipeline investments. Our Power & Industrial Projects segment was up 11 million from 2013. This increase was driven by renewable power generating units, beginning commercial operations in 2014 and also increased reduced emissions fuel earnings. Our corporate and other segment came in $6 million favorable over last year, primarily due to tax-related timing differences. In total, results for the growth segment were 26 million lower quarter-over-quarter. At energy trading, operating results for the quarter were 3 million, which is 9 million higher than last year due to improved performance in the power portfolio. Year-to-date, energy trading has reduced 1 million of operating earnings. Slide 23 and 24 of the appendix contain our standard energy trading reconciliation pages, which show both economic and accounting performance. I’d like to now turn to Slide 11 and walk through some quarterly details for DTE Electric. The Electric segment was lower quarter-over-quarter by 44 million. The major contributors to this unfavorability were weather of 33 million and 20 million related to storm expenses. Regarding the weather, the third quarter and 2014 saw roughly 30% fewer cooling degree days than normal. In contrast, 2013 experienced normal weather. In regards to the storm expenses, both 2013 and 2014 saw elevated storm activity versus normal but the number in severity of storms in 2014 was even greater including a September storm, which was one of the largest in our history affecting more than 400,000 customers. Offsetting the impacts of the weather and storm are lean initiatives that began in the third quarter of 2014 compared to reinvest initiatives that were taking place in the same period last year. Moving on to Slide 12, I’ll discuss our 2014 revised guidance and key drivers. As Peter stated earlier, DTE Energy is increasing EPS guidance from a midpoint of $4.30 to $4.35 per share. The strong results at DTE Gas and our Power & Industrial business have more than offset the weather impacts at DTE Electric. Along with increasing the midpoint of guidance by $0.05, we are also narrowing the range as we head into the final quarter of the year. This revised guidance includes contingency and they provide us flexibility to implement reinvestment strategies depending on business results and conditions for the balance of the year. We are revising DTE Electric’s earnings guidance downward but by only 15 million, despite facing enormous unfavorable pressure from both summer weather and increased storm activities. We’ve talked to you before about our flexible planning approach of creating three financial plans each year; a base plan, a lean plan and an invest plan and we are prepared to implement each as needed. Implementing our lean plan has allowed the company to mitigate a large portion of the earnings pressure and minimize our downward earnings revision for the Electric segment. On a weather normalized basis, electric sales are down approximately 1% through the first nine months of the year, due primarily to customers taking steps to conserve energy after the unusually cold winter. Long-term, however, we continue to expect load growth to be up 0.5% per year, which is in line with our Midwest peers. For DTE Gas, we are revising guidance upward. This is mainly due to the significantly colder than normal winter that we experienced but we are also holding some of that favorability back for firm life contingency or reinvestment opportunities. We are narrowing gas storage and pipelines guidance. The primary drivers of this change are strong performance in the pipeline and gathering businesses and one-time weather-driven favorability in the storage business. This favorability is offset by the ongoing impact of the accounting change at one of our pipeline investments. As we mentioned on previous earnings calls, we began deferring revenue collected in FERC approved rates in excess of depreciation expense. This deferral is entirely timing related and will reverse and therefore has no impact on the long-term growth prospects for this segment. So far this year we have deferred approximately 10 million of revenue after tax and we will defer a like amount in 2015 and a much smaller amount in 2016 before the deferral begins to reverse. For the Power & Industrial Projects, we are revising guidance upwards. The primary driver of the guidance increase is better performance at our reduced emission fuels business. That concludes my update on our earnings. I’d like to now turn the discussion over to Mark who will cover cash flow and balance sheet metrics.
Mark Rolling: Thanks, Jeff, and good morning to everyone on the call. I’ll open by saying that our cash flow and balance sheet remains strong and continue to support our long-term growth plans. So beginning on Slide 14 with a look at our cash flows through the first three quarters of the year, September year-to-date cash from operations is $1.2 billion. This is down a little compared to 2013 but it’s in line with our plan for the full year. Compared to the same period last year, DTE Electric had lower surcharge collections and higher fuel and purchase power costs. This is driven mostly by the colder weather we had early in the year. And similarly, DTE Gas has high weather-related gas purchases. Capital spending is up this year due to increased investments at the electric utility partially offset by lower capital spending at our non-utility businesses, which is really just a timing of our gathering related spend at GSP. We’ve included a more detailed breakdown of year-over-year CapEx on Page 22 in the appendix. So overall, net cash is down year-over-year which is consistent with our plan. Moving now to Slide 15, which shows our revised cash and capital guidance for 2014. On the left side of the page, cash from operations is still expected to come in at $1.6 billion while capital spending will be about $100 million lower than the original guidance, resulting in a $100 million improvement to free cash flow and net cash. We’re taking advantage of the low interest rate environment by refinancing more long-term debt than we had originally planned. On the right side of the page, you can see the breakout of capital spending by business units. Our projection for total CapEx is almost $2.2 billion. That’s down a little from our original guidance, but it’s up nearly 15% from last year. We still expect to spend 1.6 billion in Electric with a small change to the mix. And our non-utility investments will be about $160 million lower than planned. Now as you know, the capital spending in the non-utility businesses is driven by the timing of projects and it can be lumpy from year-to-year and that’s the case here today. Let me wrap up on Slide 16 with a look at our balance sheet metrics. We expect to end the year within the targeted range for both leverage and FFO to debt, and we’re nearly complete with our 2014 funding requirements with no plan to issue equity this year. We have a healthy $1.2 billion of liquidity at the end of September and lastly, we refinanced over $1 billion of long-term debt at very attractive rates, which will give us almost $25 million in annualized interest savings. Now, I’ll hand the discussion back over to Peter to wrap up.
Peter Oleksiak: Thanks, Mark. I’d like to move us to Slide 18 for a wrap up of the quarter. The quarter was impacted by a pretty unusual combination of cool summer, weather and increased storms, which were partially offset by strong performance in our non-utility businesses. We are confident in the remainder of the year as we are raising and narrowing our 2014 EPS guidance. Our balance sheet and cash flow metrics remain strong and we are reiterating our commitment to the 5% to 6% earnings growth and providing attractive dividends. As I mentioned, we’ll be at EEI in a couple of weeks. We hope to see many of you there. Gerry Anderson will be providing a detailed business update for each of our business segments. The presentation that Gerry will provide will begin at 11.15 Central Standard Time on Thursday, November 13. For those of you not going to EEI, you’ll be able to join that webcast through our Investor Relations website. I’d like to thank you for listening to our call this morning. Now, we’ll be happy to take questions that you may have. As Anastasia mentioned, really a preference to focus on the quarter and the full year of 2014 saving the longer-term strategic dialogue for the November EEI meetings. So with that, Kyle, we’ll be open for the Q&A
Operator: (Operator Instructions). We’ll take our first question from Matt Tucker from KeyBanc Capital Markets.
Matt Tucker - KeyBanc Capital Markets: Hi. Good morning. Nice work in a tough quarter.
Peter Oleksiak: Good morning, Matt.
Matt Tucker - KeyBanc Capital Markets: First question on NEXUS, could you talk about the partnership structure there and what remains to be done before pre-filing? And if you could give us any more color on kind of timings of that between now and year-end?
Peter Oleksiak: Yes. As you know, we’re very excited about the project. Since our last earnings call we completed a really key milestone, the binding open season. The pipe right now is sized at the 1.5 BCF per day, originally going into the open season thinking we may be a 1B pipe. And we do have an enough commitments for the producers and end-used customers to move forward that project. The work that’s been done right now we have some right-away activity of the project. That’s in full motion. We also have environmental land studies going on. Our target is to make a FERC filing at the end of the year timeframe. On the ownership issue, we are still in discussions with Enbridge. That’s really the kind of remaining area or swing factor in terms of our ownership levels. I would anticipate that these conversations will probably go forward maybe into the end of the year timeframe. Either way we liked Enbridge to be in the pipe. It does make sense from a long-term strategic standpoint to have Enbridge in. If not, we’ll have a larger ownership of a really great project. But I’ll say really more than the year timeframe to finalize ownership levels.
Matt Tucker - KeyBanc Capital Markets: Thanks. Is there any more color you can give us on kind of the nature of those discussions with Enbridge? I guess from the outside, it’s a little bit difficult to understand I guess why they wouldn’t potentially want to join the partnership as well as why you wouldn’t prefer just to take a larger stake in the project?
Peter Oleksiak: For them – they are mainly an oil-based company with oil pipelines and really is around the capital allocation and resource allocation decision for them. I’m anticipating at the end they will be in this project. It’s a great project. They obviously feel so as well with even the end use coming from them as well in terms of some of the LDC support. If it really is around the capital allocation decision, I think at the end of day they’ll be part of the project. We like them part of it just from a strategic perspective to have their ownership interest in there as well as LDC support definitely helps the longer term on the overall viability and success of the pipe.
Matt Tucker - KeyBanc Capital Markets: Great, thanks. And then just on the Vector proposed expansion, any more details you can give us there on the potential CapEx or how much uplift that could create relative to the current earnings stream from Vector?
Peter Oleksiak: Yes, I think it’s a great question and let me take a step back on Vector. We’ve indicated in recent years that we felt Vector was really well situated with the emerging shale gas in the region, especially the Utica shale. We had on the list and somewhere disclosures around potential pipeline projects we had to Vector expansion and we have that labeled as a TBD. This open season was prompt just by the number of proposed projects in the area. And so Vector really is now putting out an open season to see what’s the level of interest, what potentially could be the size of the expansion if there is going to be one. This would be a fourth quarter 2017 in service if there was an expansion. So through this open season, Vector is going to understand the total demand from the new projects as well as understand demand from existing shippers beyond the 2017 timeframe. So it is a bit early right now to really indicate what the potential expansion could be if there is going to be one. But I can say that this is definitely a very positive sign and the first step in the process around Vector.
Matt Tucker - KeyBanc Capital Markets: All right, great. Thanks a lot, Peter.
Operator: We will take our next question from Andy Weisel with Macquarie Capital.
Peter Oleksiak: Good morning, Andrew.
Andy Weisel - Macquarie Capital Securities: Good morning, guys. My first question is just a question on customer rates. You filed the new cost of service but can you walk us through maybe a little more detail on the numbers of what the changes by customer class look like for that, for the surcharge reductions and then with the upcoming general rate case, how that all sort of nets out over the next 12 months?
Peter Oleksiak: With the customer rates, that’s just the PA169, we did make the filing there. We have indicated and it really was driven – as you know, there was a work group put together looking at large industrial (indiscernible) energy intensive customers. But those customers will experience an average rate deduction around 8%. The higher use will be probably more – maybe north of 10%. There will be reductions as well for some of the larger commercial customers. It is a rate neutral, so there will be some balancing across the remaining customer classes. We do have headroom, as you’ve indicated. This year we had surcharge reductions coming off. A big one Steven called out was a renewable program, the surcharge related to that. That was close to $100 million. All-in, the surcharge reductions this year was about a 6% headroom. Next year, we have our Nuclear Power payment related to Fermi that’s going to be around 6% as well. So we have enough debt. We do have a filing coming up around our rate case for Electric. It’s been a four-year stay out. It really is a capital driven, rate base driven case. It’s too early to really call what the size of that case will be, but we’ll have headroom between the surcharge reductions as well as our Nuclear Power payment to more than cover in that case.
Andy Weisel - Macquarie Capital Securities: You said more than cover, okay, terrific. Next, just two quick ones on financing. Equity needs, you mentioned nothing this year but there was – you didn’t mention in the slides what will happen for next year and the year after. Should we still think about that as 200 million to 300 million per year or how much will that depend on the pipeline CapEx needs?
Mark Rolling: This is Mark. We’ve previously said we’d be doing 200 million to 300 million per year in '15 and '16. When we go to EEI, we’re going to provide a refreshed outlook that will take you out through '17. And the equity plans we do won’t be dramatically different than what we’ve talked about and we’ll contemplate all the capital growth, that is our plans.
Andy Weisel - Macquarie Capital Securities: Okay, great. And then lastly, the refinancing of debt continues to come in up to 1 billion long-term debt refinance. Is there much opportunity for more or should we think that is sort of it in this rate environment?
Mark Rolling: Well, we’ve refinanced everything that came due and there was some callable debt that we pull forward to take advantage of the rates. We may have a little more yet this year, but you’ve probably seen the lion’s share of us refinancing long-term debt here over the last two years in fact.
Andy Weisel - Macquarie Capital Securities: Very good. Thanks a lot, guys.
Peter Oleksiak: Thank you.
Operator: We’ll take our next question from Dan Eggers from Credit Suisse.
Peter Oleksiak: Good morning, Dan.
Dan Eggers - Credit Suisse: Hi. Good morning, guys. I’m not going to try and go too far into the future but I’m going to do it anyway. Yesterday, your other Michigan peer was talking about kind of some of the opportunities that could come if customer choice goes away as far as load coming back on their system as well as kind of starting to address the short MISO Zone 7 capacity situation. Can you just talk about how you guys are accessing that opportunity and when we could prospectively hear kind of thoughts on places where you might start filling in generation capacity?
Peter Oleksiak: Dan, that’s a really good question. Even the time we first started talking about the MISO (indiscernible) for 2016-'17 is now estimated at 3 gigawatt hours and that’s been a pretty recent disclosure from them, and it was up from 2 gigawatt hours which was the previous level. We mentioned on the call here, we have this current RFP for electric capacity. This really is intended to secure capacity for our full service customers in this tightening region of MISO. We have a natural summer short, but there’s capacity with tightness always as we’re looking at the end of the tightening market, we felt it really is prudent to cover that short really to secure capacity as well as more price certainly for our customers. We are developing plans to address our full service customers’ overall capacity needs in the 2016-'17 timeframe. This emerging capacity shortfall in part is really a reflection of the flawed retail access program here in Michigan and I’d say it’s probably really distributed to the lack of capacity planning from the choice providers. They were really taking advantage of the long market to-date. So I know a lot of your question is around the choice returns, what is the implications for us. Choice does return and we do believe that choice will be addressed up here coming in legislation and that there is a possibility of choice returning to us. We will have plans to serve them. That could mean additional capital, most likely not immediate but longer term for us.
Dan Eggers - Credit Suisse: I guess when you guys are laid up in the pipeline side, the box of future earnings contribution, is this Vector project going through open season, is that part of that box or does that stack on top of a (indiscernible)?
Peter Oleksiak: We have indicated if you go back to even some of our disclosures, we did have there a Vector expansion as a TBD. So as we were contemplating NEXUS and sizing up NEXUS, there was a Vector expansion contemplated as well.
Dan Eggers - Credit Suisse: Okay, so the classic white box in the last presentation had NEXUS --
Peter Oleksiak: I’d say a portion of that, but it will be interesting the number of projects in the area as well as understanding existing shippers what their interest is beyond the 2017 timeframe. So there is a place all the way now, but that could vary depending what happens on this open season.
Dan Eggers - Credit Suisse: I’ll be simple about this, but that $20 million of that box has some combination of different projects that you probability weigh in there. So if you had NEXUS and Vector both get done, would that be bigger than the 20 box effect. Is that’s the right way to think about it?
Peter Oleksiak: Well, I guess I can – not until mid November the EEI, but some of that will be – we will be going over in more detail and Gerry will obviously in a few weeks around how we’re thinking around our gas storage pipeline segment overall, what we think about future earnings, how do we feel about that white space. NEXUS, that was sized as a 1B pipe with one-third ownership. That’s coming in at 1.5B pipe with ownership as a TBD right now. So there is possibility for larger capital and earnings from NEXUS depending on where we end up with the ownership levels there. And there was a contemplation of the Vector expansion, so we’ll see coming out of this open season could it be larger potentially, could it be smaller, that may be a possibility as well, but more likely there will be an expansion. We won’t have completely nailed down for the EEI because that ends on November 4. That will take some time for us to really access what we think that is going to be.
Dan Eggers - Credit Suisse: Peter, should we expect that – that chart goes to 2019, the EEI?
Peter Oleksiak: Yes, we will update you through 2019.
Dan Eggers - Credit Suisse: Okay, great. Thank you, guys.
Operator: We’ll take our next question from Julien Dumoulin-Smith with UBS Financial.
Julien Dumoulin-Smith - UBS Financial: Hi. Good morning.
Peter Oleksiak: Hi, Julien.
Julien Dumoulin-Smith - UBS Financial: So I’ll stick with this year for the time being and firstly, just with regards to the non-utility CapEx, could you talk a little bit about the shift that you’re showing there for '14? And then separately at the same time, could you talk a little bit about what the lean initiative means in terms of EPS shift versus call it your base case? And specifically, I know it’s a little out of bounds, but how does that impact next year as you think about having to reinvest?
Peter Oleksiak: Okay, I’ll handle the non-utility question and then I’ll turn it over to Jeff Jewell to talk about the lean implications of that. In the non-utility, it is timing. It’s a combination. There is some gathering investment. We’re doing the gathering right now for Southwest Energy. That really is timing in between here, so that’s what that is. A portion of it is also our Power & Industrial segment. We’ve indicated there is opportunistic investments there that won’t be in nature. There is no implications on our longer-term growth plans. It is timing for that. And then, Jeff, you want to handle the lean.
Jeff Jewell: Sure. Hi, Julien, this is Jeff. So I think your question around the lean and what does that mean for this year related to EPS, did that sort of have a size there?
Julien Dumoulin-Smith - UBS Financial: Yes, versus call it your base case. And also to what extent that impacts next year, as you think about having to reinvest after having spent a lean year here?
Jeff Jewell: So let me answer the second one first. So the way we start each year as we’ve talked about, we have the three plan. And each one of those plans is sort of one-time based off of that year. So when we talk about lean or reinvest, we’re doing those as sort of one-time events. And so when you think about next year, we’re not anticipating there being an impact by doing lean or reinvest this year and then having an impact on the next year. Again, that’s how we sort of manage our business. So then you talk about the sizing for this year; as you saw on the slide, we spent at the Electric company about 7 million of lean and we’re looking at about 10 million to 15 million after tax is what we’re looking at for the fourth quarter. So that’s roughly a little less than $0.10 a share for the balance of the year is what we’re looking at there.
Julien Dumoulin-Smith - UBS Financial: Excellent. Thank you. And then just a clarification from Dan’s last question there on the situation with MISO. As you think about the RFP that’s pending, just curious, is there any acquisition opportunity here that stands as well as I suppose self-build? Could you clarify what’s on the table and also to what extent would the state prefer to see new builds rather than an acquisition from you all?
Peter Oleksiak: The RFP is an acquisition and we believe there are a few merchant plants that are in the state of Michigan. We believe we can secure them at a price that’s good for our customers and most likely will be less than the new build on that. For the near term, our solution for our full service customers is an acquisition. The longer term is if we do have a shortfall here in the MISO, especially with Zone 7, what is the pace and timing of new capital to cover that. We will be obviously spending capital. We’ve indicated that with the coal-plant retirements, but that’s more of a TBD at this point in time. And while that is also for us personally, DTE is what happens with choice.
Julien Dumoulin-Smith - UBS Financial: Got you. So what’s the timeline then in terms of thinking about next steps on resource adequacy if you could kind of rehash that?
Peter Oleksiak: The RFP that we have in motion right now will close in 2015 for the 2015-'16 timeframe. For the 2016 timeframe, we’re in plans right now developing plans for our full customers. Our actual filing around that is early in '16, but obviously we’re getting ahead of that and understanding the implications for our bundle of full service customers. We’re also monitoring the overall market and then trying to think through what happens if choice does return. So we are really kind of in the early stages of thinking about that as a company.
Julien Dumoulin-Smith - UBS Financial: Great. Thank you.
Operator: (Operator Instructions). We’ll take our next question from Jonathan Arnold from Deutsche Bank.
Peter Oleksiak: Good morning, Jonathan.
Jonathan Arnold - Deutsche Bank Research: Good morning, guys. I’m just curious on Power & Industrial, the performance in the quarter. You attributed it and I think the guidance raise primarily to reduced emission fuels performing the plan. So is that something that happened this quarter that likely won’t recur or is this just that business moving to a higher base?
Peter Oleksiak: We are seeing strong performance and income from our reduced emissions fuel projects. A good portion of this is tied to additional volume that’s non-repeating related to some plant capacity factors and availability factors. So I’d say really and most of it will be non-repeating. We are just seeing growth from a segment overall for next year and we will be providing a fuller update on this segment at next month’s EEI conference.
Jonathan Arnold - Deutsche Bank Research: What we got this quarter and what we’re getting this year is some of this year’s cap effect?
Peter Oleksiak: It will be this year and we’ll provide an update on '15 at the EEI Conference.
Jonathan Arnold - Deutsche Bank Research: Great. My other stuff was answered. Thank you, guys.
Peter Oleksiak: All right. Thanks, Jonathan.
Operator: We’ll take our next question from Paul Patterson from Glenrock Associates.
Paul Patterson - Glenrock Associates: That was pretty much my question too, but just to sort of follow up on it, if we were to think of a normalized number just to clarify, it would basically be what your prior guidance was?
Peter Oleksiak: Yes. That would be a fair assumption.
Paul Patterson - Glenrock Associates: Okay. And then just on the trading, the net fair value, it seems to have been pretty good not only in the quarter but year-to-date. And I’m just wondering, has there been any change there or anything you want to discuss in terms of how you see the trading basis performing going forward?
Peter Oleksiak: No, the trading is and as you’ve indicated are having a really good year. We have indicated – we target or at least anticipate 20 million to 25 million of economic contribution per year from our trading company. This economic value will be coming over time into our accounting earnings. There is some noise and variability when it flows in. But when it does flow it, it is as we’ve indicated, over and above our 5% to 6% growth objective. So in the appendix page you will see there the $36 million year-to-date, so they’re having a strong performance but that doesn’t change our longer term basically expectations of the 20 million to 25 million.
Paul Patterson - Glenrock Associates: Excellent. Thanks a lot.
Operator: We have no further questions in queue at this time. I would now like to turn the conference back over to our moderator for any additional or closing remarks.
Peter Oleksiak: I’d like to thank everybody for joining us today and hopefully we’ll see many of you next month in Dallas at the EEI Conference. Have a great day.